Operator: Dear ladies and gentlemen, welcome to the conference call of Evotec SE. At our customer's request, this conference will be recorded. [Operator Instructions] May I now hand you over to Werner Lanthaler, CEO, who will lead you through this conference. Please go ahead.
Werner Lanthaler: Good afternoon, good morning. Welcome to our Q1 reporting. It's a pleasure to have you on the phone, and it's a pleasure to guide you through our presentation acceleration on the data-driven Autobahn to Cures. When you go to this presentation, which we have uploaded on the web, and you go to Page #2, let me warmly welcome you. And given the fact that we just recently held a Capital Markets Day on April 20, we also want to invite you to look at this presentation which is also uploaded. At our Capital Markets Day we presented extensively a deeper look into our drug discovery platforms and technology, this is why today we will focus more on our ongoing business and our strong outlook for mid-term view of and the strategy. I'm here together with our CFO, Enno Spillner. If you go to Page #4 of this presentation, you will see that we have a very successful start into the year, despite the still ongoing COVID-19 pandemic, we see a strong start. Actually, it is probably fair to say that we see a very strong start into the year, which also allows us upfront to confirm our 2021 goals and also our strong long-term outlook. Page #4 highlights some single events that are supporting our unique business model. The long-term view of our business strategy has been put together in an updated business model, which we also introduced recently, which we call action plan 2025, the data-driven R&D Autobahn to Cures. When you look at Page #5 of this presentation, and you look at some of the highlighted numbers, you will see that we had like-for-like compared record start into the year, and Enno will elaborate much more in detail on this. Let me guide you back for a second into our strategic outlook on Page #6 of the presentation. The data driven R&D Autobahn to Cures has one key theme. And the key theme for us is to achieve leadership in data, science, multi modality and access for many people to our drug discovery platforms. The key capability that we are building is to achieve our mission with more disease relevant, significantly earlier derived information about diseases. This is what we put into the drug discovery process much earlier than it was the case in the past. If you go to Page #7 of your presentation, you should see and appreciate together with us that this is just the beginning of what Evotec is doing. Our action plans are linked to very clear investment and return strategies that deliver significant values. We have shown this in the past, but looking forward, we are still at the beginning of what values we can create and recreate with essentially in from innovation that we bring to this industry. We are building the essential innovation hub within research and development within the health care community. And Page #8 of this presentation, you should see that we bring the power of data and platforms together. Linking our eight building blocks with disease relevant data is essential. For this reason, you should see the symbolic importance here that we are linking these blocks with a stream of data. Many people say that data is the new oil. At Evotec, we know how to exploit this most important resource for health care in the future. We know how to use data for patients in the future. And we also know how to use data to exploit even better to potentially create prevention systems way earlier in the management process of diseases. Page 9 indicates to you that we do what the industry truly needs. If you look at our numbers in detail, you will see that our Fee For Service base business, our Evotec Innovate Projects, and also our Just-Evotec Biologics platform are all in full swing. Why is this so important? Because this allows us from multiple sources to build our long-term vision to create a co-owned pipeline where we own royalties. And if you go to Page #10 of this presentation, you should see that we are especially happy that we can see and monitor that the cross-selling within our increasingly integrated projects is working very well along the value chain. Our better defined highest quality work packages are the key service to our partners, which are highly appreciated. And where you see in a deeper analysis of our numbers, even increased customer satisfaction than ever before. With this, let me hand over to Enno, who will guide you into more detail of our Q1 numbers.
Enno Spillner: Thank you, Werner, and truly warm welcome to all of you today. I hope you have a good morning or good afternoon. And I'm very happy to introduce you to our financial performance Q1 2021 on our next slides, and starting on Page 12. Q1 2021 numbers show a very good 11% increase on the revenue line, substantially pushed by the development of our base business. Adjusted for FX effects we even will recognize a 17% gain. I will come back to further analytics of -- and composition of our growth factors on Page 15. Gross margin amounted to 23.1% as anticipated lower than last year, but in line with expectations. This is mainly due to the often mentioned fadeout of the Sanofi subsidy for the side in Toulouse after Q1 2020 and a slightly lower level of milestone achievements. R&D expenses increased as anticipated by a strong 23% compared to last year's level, especially driven by further enhancing our multiple platforms and pushing our co-owned pipeline. The growth in the SG&A also stands at plus 23% and relates to the targeted further organic and inorganic growth like the edit new business setup of Evotec GT, the integration of the acquired biopark BBS by Sanofi and ramping up our J.POD 1 in the U.S and so on. The other operating income turns out to be slightly above last year's level and contains two main components basically as in all the last quarters, R&D tax credits and the Sanofi recharges for ID Lyon. All in all, this development results in an increase of our other operating results. With a total of €21.1 million, our adjusted EBITDA lands well within our expectations. And I will give you a more in depth overview on the EBITDA development on Page 16. The net income amounted to €52.7 million and benefits substantially from a one-off effect in the non-operating income resulting from a fair value adjustment of our f Exscientia EVOequity engagement. Exscientia successfully closed the financing round in March, which also changed the value of our shares, resulting in a significant upgrade of the total valuation of our interest in our books. Moving to Page 13. The next slide, or the slide depicts our strong base business development that leads to an overall sales growth of plus 11% versus prior year. And this despite negative counter effects, such as the termination of the previous mentioned Sanofi Toulouse payments, the slightly lower milestone upfront and license level and adverse FX effects. Therefore, it is particular worth looking at the strong growth of our base revenues, which adjusted for portfolio and FX effects even grew by 28%, confirming the solid expansion of all base business. Margin wise, we arrived within expectations. The decrease versus last year is explained by the same effects as just described for the revenues. Adjusted for the Sanofi effect, actual margin would be virtually on the same level as in the prior year. Looking at the two segments on Page 14, both continue to grow and perform well as planned as and anticipated. Year-to-date, Execute revenues including inter-segment revenues amounted to €137 million coming from €118 million in Q1 2020. This is driven by two factors, an increasing demand for integrated offering, and a strong base business. The Execute gross margin for Q1 2020 was a 21.4% and thus below last year's level of 29.3%, which benefits from the last Sanofi or which benefited from the last Sanofi Toulouse payments and the Bayer milestone recognized under Execute at that point in time. The adjusted EBITDA came in at €28.3 million significantly below last year's level, for the same reasons as just described for the gross margin line, plus recognizing higher SG&A costs obviously. Innovate Q1 revenues amounted to €28.2 million, which is an excellent 21% above last year due to higher demand for precision medicine, reflected by expanded existing as well as new partnerships. Innovate's total R&D amounted to €18 million which is 12% above last year, once again confirming our continued investment into innovation projects and sustainability. The Innovate adjusted EBITDA was negative, but within expected ranges, and amounted to minus €7.2 million versus last year's minus €5.4 million. Main reasons were the anticipated increase in R&D and SG&A investments. Looking at the year-on-year revenue development on Page 15, the increase is completely driven by our very strong plus 26% organic growth of the base business reflected in a €28 million step up versus last year. This is another proof of our continuously high revenue quality coming from our sustainable repeat business, and together with our long-term partners. The portfolio development is solely driven by negative effects from the end of the Sanofi Toulouse payments after March 2020. Mostly due to the weakening U.S dollar against the Euro in Q1 2021, revenues were also negatively affected by a currency effect of minus €6 million. Meaning that the overall sales development at constant 2020 FX rates would have been even better namely ending approximately at €139 million. Moving on to Page 16. This EBITDA BRIDGE once again visualizes that its development was negatively impacted by the anticipated portfolio effect also, and same as with the revenues and negative FX effects coming from a weaker U.S dollar in Q1 2020 compared to Q1 2020 -- sorry coming from 2021 compared to Q1 2020. And netting out these two factors, Evotec shows once again an organic increase compared to 2020, despite ongoing corona challenges and a slightly lower contribution from milestones. In the end, the achieved €21.1 million lies within our estimates as expected. Page 17. This slide summarizes Evotec's very solid and sustainable non P&L related financial KPIs in an unsteady market environment. Higher CapEx is one main reason for the balance sheet going up 8%, and another reason for the step up results from the aforementioned valuation increase of our Exscientia Holding. In addition to the balance sheet increase, the equity ratio steps up to slightly more than 50%. And the net debt position including IFRS 16, shows an excellent ratio below a factor of one. These factors together indicate sufficient headroom and flexibility to further invest into organic and strategic growth, and also with additional debt capital in case required or needed. Total liquidity decreased to €460.6 million at the end of Q1, mainly driven by expected CapEx investments to support and secure growth projects such as the J.POD 1 as well as general expansion of our capacities across most sites and countries. Further engagements into new and existing equity holdings also require additional liquidity. Overall, these numbers reflect a stable and very solid position which we feel very comfortable to meet and fulfill our ambitions and our ambitious goals and targets for 2021. And with this, I complete the financial overview and hand back over to Werner, who will guide you to other operational insight. Thank you all.
Werner Lanthaler: Thank you very much, Enno. Let me give you just some brief flashlights of our scientific and operational performance in Q1. If you go to Page #19, you should appreciate the picture of our iceberg of opportunities that we co-own. The vision of creating a long-term pipeline of product opportunities is growing steadily, and it's growing at fast pace. We saw a very good news flow from our partnered co-owned pipeline in Q1. But we think that with the reopening of many clinical centers, there will be even increased activity of development work within our ongoing partnerships. With this, we also think that there will be some very positive momentum towards the mid of the year and towards the second half of the year, when it comes to our co-owned pipeline, which also results into our milestones expectation. If you go to Page 20 of your presentation, you should see again the core theme of our action plan 2025. Molecular patient data is redefining health and disease. You will hear this from us over and over again because it is essential to shift the paradigm of drug discovery and drug development into the future. With our panOmics, and panHunter platforms, we have established the best data generation and also the best data analytics platform in the industry and have started to combine these platforms with multiple data sources within the community. Most of these projects are currently still ongoing within Evotec, and we have not even started to reach out to our partners. So that's why the business development process of this platform will be initiated a long action plan 2025 in the coming years. If we go to Page 21, you see that the value of data is increasing exponentially. The more data you can generate and the better you can handle data. With more and better access to more biobanks that we can operate, and where we can improve quality of the starting point for drug discovery and development, we are basically creating much better starting points for novel drug developments than ever before. Page 21 highlights only here one part of our activities in the field of kidney and liver diseases. We are building the most comprehensive starting points in the industry, which also resulted already in multiple partnerships in this field. And this is only an example of what we are doing in many other disease areas as well. On a flashlight level also guide you to Page 22, highlighting that we are taking a very long-term systems approach to the rapid development of biologics. Why is this so important? Because more access to biologics will be essential for many disease areas, including infectious diseases in the future. Our Just-Evotec Biologics initiatives are ongoing here at full speed. We see for J.POD 1 in the U.S a very strongly, nicely growing order book. And we have also started to see very good traction on our recently launched J.HAL machine learning and AI prediction platform. With this, I think it is fair to report back that we are on full track to launch new platforms in our biologics world. But we are also on full track to launch the commercial facility J.POD 1 U.S by the second half of '21. We are building which you see on Page 23, J.POD 2 in Europe as we speak. So we have started this initiative even before J.POD 1 is fully operational. Why? Because we see an extremely strong demand coming in the next decade for novel biologics. There will be a very important feature within J.POD 2 that we are preparing J.POD 2 to not only for a commercial manufacturing of antibodies and biologics, we are also preparing here a commercial process for cell therapy products. If you go to Page 24, you should see that our translational strategy from academic institutions is in full swing. beLAB2122 and beLAB1407 exemplify here our recent initiatives. The rollout strategy of our translational BRIDGEs between academia and Evotec platform going forward into the industry is fully ongoing, as we speak. And we are very happy to see that our global rollout strategy is gaining momentum also with the support of our partner BMS in the recent BRIDGEs -- in the recent two BRIDGEs that we have launched. When you go to Page #25, you should see that a BRIDGE project is very often only one data point away from a successful company formation. With this, we are preparing our BRIDGE projects to be the companies that we co-own in the future. Our existing portfolio, which you see on Page 25 is here doing very well at this stage, and we expect very good news flow out of many of the companies that we are currently holding in our operational VC portfolio in the near future. Going to Page #27. Let me bring you into a more corporate theme, which is very important to our heart and to the planet. We were very clear when we started our ESG initiatives in the past 2 years. This is for us much more than a lip service. And you can see and you will be able to measure this very soon. Our first steps to reduce emissions has taken place and we have made all organizational alignments group wide to include ESG topics also for the personal goals of many of our employees. It is important to drive ESG initiatives top down into not only the minds, but also the daily reality of employees because that's what makes the company better, but that's also what makes the daily performance of our scientists and employees better. If you go forward to Page 28, we can confirm that we see a strong year ahead based on a very strong long-term plan. We can confirm our Group revenues expected somewhere between €560 million, €570 million. We can confirm our EBITDA somewhere between €105 million and €120 million, and we can absolutely confirm that we are accelerating our R&D investment for further high value generation within the company. This gives you on Page 29 also a very good look into our long-term financial goal post of how we are building Evotec. And this shows you a strong company, growing strongly on all aspects that define Evotec into the future. With this, and Page 30, indicating to you that we are just at the beginning of this year, but also the beginning of our long-term strategy, you can expect strong news flow to continue. And we want to invite you to follow us throughout the year. Thank you for dialing in today and we look forward to your questions. But more importantly also please mark your calendar with what you see on Page 31, the important dates to come. With this, we open the line for questions and we thank you very much for following Evotec.
Operator: [Operator Instructions] First question is by Ram Selvaraju of H.C. Wainwright.
Boobalan Pachaiyappan: Hi. This is Boobalan dialing in for Ram Selvaraju, and thanks for taking my question. I would like to ask three questions. And maybe I'll begin with the OxVax collaboration. Could you provide additional details regarding the nature of the collaboration? And do you anticipate playing the role of a strategic partner, in addition to being an investor in this? That's the first. And then second question with respect to your collaboration with BMS regarding the targeted protein degradation pathway. This is really exciting. Just few clarifying points on this front. First, why did you choose to go with the degraded strategy versus developing inhibitors that would block the functional activity of the enzyme? And secondly, [indiscernible] entire protein could cause toxicity, which may be difficult to predict in advance. So what are your thoughts on this based on your own experience? And third question with respect to EVT801, can you please remind us once again, why Sanofi chose not to proceed forward with the molecule and also what are your expectations from your current partner Kazia Therapeutics? And when do you expect clinical entry for EVT801? Thanks so much.
Werner Lanthaler: Thank you. Thank you for dialing in from New York City. Good morning to you, so to say. On OxVax, we are very intrigued by this academic project, which resulted in a small spinout initiative, because of the broad potential usage of iPS cell-derived elements on the platform strategy that could be complimentary to what we are doing in our iPSC world here within Evotec. So you should look at us here as an operational synergy seeking investor that is supporting and leveraging the idea behind OxVax, which of course, is perfectly leveraged through the assays that we have generated here at Evotec on our iPSC platform and what we are doing for the last 8 years on creating this induced pluripotent stem cells here. Having said that, we really look at academic findings here also to round up our iPSC platform with every potential edge that we might not have had. Having said that we believe that we have by far the most robust and best iPSC discovery and development platform in place right now in the whole industry. If you touch on our -- for more than 3 years ongoing partnership in protein degradation with BMS, it is first of all fantastic to see that BMS has extended this partnership. And it is also fantastic to see that we are using here a most comprehensive way of exploiting protein degradation molecular blues on a mass spectrometry platform, which is unparalleled in the industry. Unfortunately, coming to your question one and two, I cannot disclose any details of this collaboration, which goes beyond what we have told the public in the press release, because we never do this without the permission of our partner. So sorry about that. When it comes to EVT801, we are very happy that our partner Kazia showed fantastic scientific insight into this molecules. And with this also a very good development path forward, which we shared with them where we agreed with them and this is also the reason why we formed a partnership with them where we expect the clinical start by the end of 2021, beginning of 2022. So relatively soon, and here all preparation work for that is in place. And that's why here an optimal synergistic collaboration came together, biology and the molecule from Evotec development experience and expertise by Kazia from a molecule which came to our portfolio through the transaction, which we did about 6 years ago, when we took over the site in Toulouse including the oncology portfolio, which was still active in Toulouse and where we have progressed some of the assets forwards EVT801 is one of them, which now came into partnering stage about 5 years after we took over that molecule. With this, I hope I answered your questions, and I'm happy to take the next question.
Operator: The next question is by Christian Ehmann of Warburg Research.
Christian Ehmann: Hello, and thanks for taking my question. Congratulations on a good quarter. I have a more technical one or two at least. So on the operating income, the net at least, so can we extrapolate from the current levels the -- which you have -- which are shown for Q1, can we extrapolate those for the both the whole year? Or what do you expect in the next 9 months in this regard? And my second question would be what do you think would be good investments or strategic additions to your current portfolio? Thank you very much.
Werner Lanthaler: Let me -- before I hand over to Enno, come to your second question by stating that when we build actual plan 2025 together, which was a company-wide effort going really bottom up into the strengths of the company that we want to build forward. We never felt as comfortable by building a strategic plan by looking at our organic platforms and building out our organic platforms. And I think here we are now starting to benefit from multiple of the add on acquisitions that we have made, starting in the year 2010, for example with a metabolics company called DeveloGen, which brought a lot of competence into this company by really building the stronghold or by acquiring Kinex on our proteomics platform, which started in there. Many iPSC protocols will be brought in and has been industrialized in the year 2012, '13, '14. So here we see now this long-term effect of small acquisitions that we made and how we completed the platform, which clearly was then into a commercial market vision, very nicely complemented by having with Aptuit, which now is our development arm for small molecules, full read through commercial material for small molecules, and with just Evotec Biologics now having not only a machine learning platform to start biologics projects, but also to build commercial material on that platform. So that really has been very, very nicely coming together now for not only all modalities, but for the whole value chain. And where, for example, within building that value chain together, we also have complemented the platform with the best safety guide, so to say, when we acquire Cyprotex for tox prediction and tox analysis on that platform. So to make a long answer short, we feel extremely comfortable with our current platform. As you see we are investing most of our resources in organic building, so that's why CapEx goes up. But building is really fundamentally driven by J.POD CapEx, which is the biggest expansion -- expenditure here. And the rest is really R&D projects where we are building on variable costs Innovate projects. Do we exclude acquisitions in the future? No, absolutely not. But again, we have never felt so comfortable with the organic investments that we're -- that we can make right now. With this -- sorry for the long answer, heading back to the operational income from Enno.
Enno Spillner: Yes. Hi, Christian. Pleasure having you on the call.
Christian Ehmann: Hi.
Enno Spillner: So principle in the basic pillars that we have within these lines, which is R&D, SG&A and other operating income, which breaks down into two major blocks, which is on the other -- on the one hand side tax credits, as we have seen it in the previous years and the reimbursement from the Sanofi infectious disease unit, Lyon. So all these blocks continue and the reimbursement should be relatively stable and SG&A -- tax credits should be slightly going up over the quarters. And as we grow with the organization, we continue to grow obviously also we will have slight parallel movements also in SG&A and R&D will be relatively stable. So in principle, you can take that as a basis point you have seen in the Q1 roughly. But we obviously cannot estimate as any impairments or other activities, which may bring volatility to the whole block, if you will.
Werner Lanthaler: Thank you so much.
Christian Ehmann: Thank you very much.
Werner Lanthaler: And regards to handbook -- with this, next question please.
Operator: The next question is by Falko Friedrichs of Deutsche Bank.
Falko Friedrichs: Thank you. Good afternoon. Three questions, please. Firstly, on the beta third line, beta cell project, and could you provide an update on the partner in process for the compound? And when can we expect the decision here? Then secondly, on data, and you mentioned it a few times in your presentation that you have this increased focus on data? Are you also thinking about or working on ways to monetize your data sets more going forward? And then thirdly, on Exscientia, it sounds like they're making a lot of progress. Will you be able to integrate some of their artificial intelligence processes into your own processes at some point? Will just remain more of an investment for you going forward?
Werner Lanthaler: Hello, Falko. Thank you so much for the excellent questions. Question one, on our CureBeta initiative. I think we are very happy at this stage with the progress of CureBeta and all our cell therapy initiatives. Let me also highlight here that we have increased our portfolio on cell therapies with opening a partnership with UKE on cardiomyocytes and cell therapies for cardiomyocytes. With this, we are at this stage progressing CureBeta on our own platform at full speed. Because the beauty of our own platform is that every technology and everything that we need to progress CureBeta into clinical stage at this stage is anyways happening on Evotec's platform. So independent of who would be our partner, the cells would anyways have to be made at Evotec and also scale up here would anyways have to be made at Evotec. The next piece of information, which is absolutely relevant here is that the commercial scale up process for these cells will be made within Evotec, namely just Evotec Biologics platform. So also here we see the full synergy of the platform and CureBeta as a project, which is gaining momentum every day. We are in discussion at this stage with pharma partners, and we are in discussion with venture partners, where we are considering all options at this stage, and we continue to do so which is either giving out a license, or creating a company, or keeping the project into combining it with other initiatives like the cardio initiative, still a bit longer on our platform. We have the full R&D funding behind that. And that's also I think, why we want to have the optimal solution for this project, and not only a short-term solution for the project. But most importantly, all data that has to be generated is going at full speed, and actually going very well. When it comes to monetization of data, I think we are already in the middle of it. And why do I say this when you look, for example, at recently announced partnerships with Novo Nordisk, or with Chinook Therapeutics, where the starting point for these partnerships is really coming from the data mining that we can do by accessing, for example, our NURTuRE database for kidney diseases. And that's really where the starting point of such a drug discovery partnership is so early, that we are really starting together with our partners to mine the data and from their own starts to define drug discovery starting points that we then define the path forward for the molecules. And for example, that we were able to generate significant upfront for these partnerships, which fortunately didn't disclose, but is very relevant shows you that the pure data generation and data analytics that we can provide behind NURTuRE, for example, allows us to monetize this capability within Evotec and that's just the beginning, again, of what you will see not only out of NURTuRE, but also other disease areas where we have started to build these data sets. And most importantly, where the tools, so panHunter and panOmics tools are basically exercised and trained and getting better every day. And, for example, our recent expansion into liver diseases is here a very important point, because I don't know of any other company that has such an unbiased well structured and with data generation and also analytics tool platform available like Evotec at this stage. So that's why this is really for us not only long-term, but also high value activities that we are providing here. When we monetize that is not that relevant, because this data becomes more valuable every day the more we put data behind also drug discovery targets and make them better. Your third point on our equity portfolio, one company in there is Exscientia which is progressing extremely well. Let me highlight that we have a joint venture with Exscientia where an a2a antagonist is -- has entered into the clinic, which was really built together and then very fastly on our platforms and their platforms progress to clinical stage. So here you see the synergistic use of their technologies and our technologies which is ongoing on multiple fronts. So also here is an operational synergy behind the investment, which again is happening on multiple fronts. And of course there's also financial interest because we are a key shareholder in Exscientia, which is also long-term, I think a very valuable investment for our shareholders. With this, let me also not be here incomplete. What you should also see is that all machine learning in AI tools, are of course, at Evotec, fully in swing and we are building this more comprehensively than many other companies can ever do this because we can fully integrate this into multiple projects. And, I mean, we are very pronounced on the power of HAL, so our J.HAL machine learning tool, because here creating antibody libraries with AI and machine learning tools is really fascinating to see how efficiently we can here with in vitro tools go much faster and with in silico tools go dramatically faster than we have ever thought. And that's why we are applying and generating AI and machine learning tools in small molecules, large molecules, also on our own platform and bring this into our partners. Sorry, again, a too long answer for three short questions. With this, best regards to you Falko.
Falko Friedrichs: Thank you very much.
Operator: The next question is by Charles Weston of RBC.
Charles Weston: Hello. Thanks for taking my questions, which are probably more for Enno. Three, please. First of all, you helpfully described some of the movements in EBITDA margin within EVT Execute from Q1 '21-- from Q1 2020. But could you give us why the margin dipped so much from Q3 and Q4?
Enno Spillner: Yes, Charles, you’re very hard [technical difficulty] line here.
Charles Weston: Hold on a second. Is that better?
Werner Lanthaler: Yes.
Enno Spillner: Sounds better.
Charles Weston: Thank you. Sorry about that. So, perhaps why Q1 EVT Execute margin was lower than Q3 and Q4 of last year. It clearly seems to come down to gross margin that was much lower, perhaps a bit of an explanation on that, please. Secondly, and perhaps related, could you quantify or just quantify the pre-opening and opening losses that you'd expect from a J.POD in the lead up to when it opens and in the early days before it builds much revenue? And then lastly, on Exscientia, you've obviously booked a nice uplift. The company did a Series D round in April. So will there be another valuation update in Q2, please?
Enno Spillner: Yes. Charles, pleasure to taking your questions. And let me start with the EBITDA question first. If I understand correctly, you are asking comparing Q4 of last year, basically against Q1 of this year. And maybe the additional hint that you're looking for, which makes a difference that you may recall, our Merck collaboration, which we announced in early of last year and -- for the J.POD activities in the U.S. where we received the upfront. And the respective accounting for this had been to be adjusted in context of our annual reporting, shortening the overall revenue recognition period down to 2 years coming from roughly 2.5 years, which means we had to basically adjust for the full 2020 or the quarters. Obviously, we had to recognize this in Q4 only. And that is really the main -- major differentiating factor here that makes the delta and that's what probably what you're looking for. On the …
Charles Weston: Can I just ask [technical difficulty] appreciating a bit stronger, perhaps because of the Merck accounting, but [technical difficulty]
Werner Lanthaler: Charles, it's very difficult to hear you. And your question, may I direct you directly to [indiscernible] or Enno on that question, because otherwise maybe we haven't clarity on the answer here. Did you get question two and three, Enno?
Enno Spillner: Yes. So to maybe to start with the Exscientia first, on the last one, here. Yes, as we indicated also in our subsequent section basically of our Q1 report, we are expecting a further uptick in the variation of our assets in context of the second round that took place. So the Series C of Exscientia was in Q1, in March, and there's a new Series D basically happening or happened in April, which we then will adjust and report about. And with regard to the uplift, we do not expect any ramp up losses from the J.POD part, but do expect basically breakeven or slightly positive contribution immediately from the start -- from the scratch once we are getting operational.
Charles Weston:  Thank you.
Werner Lanthaler: Thank you, Charles. Sorry for the line and let's try to connect on a better line there. Hope to see you soon again. Next question.
Operator: The next question is by Victoria English of MedNous.
Victoria English: Yes. Werner, in your opening remarks, you made a general statement about the goal of the company is to create a co-owned pipeline where you own the royalties. And I was wondering whether you meant own or co-own the royalties?
Werner Lanthaler: So the royalties we will own, and let me just give you an example. We have in our -- at this stage, Phase 2b portfolio a compound with Bayer, P2X3, where we expect strong clinical news flow in '21, '22. This would be then, for example, the first product which could be out of that collaboration on the market in the year '24, '25. And that would be then a royalty rate, which we could collect, where there is no cost against that, and which would fall basically directly on our EBITDA line. So that's the way that's organized. And that's only one example, out of more than 100 at this stage co-owned situations. But there are also other co-owned situations. For example, when we at this stage co-own, let's say a company called Breakpoint, then we have typically not a royalty on the product, but then we have co-ownership in the company. We also have situations where we co-own a product and co-own a company. So that's why it is really the whole idea of creating the long-term royalty pool through situations where we want to benefit from the upside, and the inventive steps that we bring to products together with our partners. And if you think that through over time, then you end in a situation where you will have from multiple sources out of multiple business models, these royalties coming into the company. And then of course, the next question is how to optimally use them. But we have plans here, but we are not disclosed them yet because that's a few years to come. Importantly, within actual time 2025, we at this stage don't assume significant royalties to kick in, but that will then be beyond 2025, which again, we boost our EBITDA very nicely.
Victoria English: Yes. Can I just have one follow-up question. When you were talking about the role that you anticipate playing in creating new companies what you've already done some, but you were specifically talking about the bridge between academia and commercialization? Have you worked out what the ownership is of the intellectual property in these cases?
Werner Lanthaler: Yes. And that's super question. Thank you so much. I think that is one of the blueprints that very early on when we started the first BRIDGEs, for example, with Oxford University Lab 282, now 4 years ago, where we really spent a lot of time with the tech transfer offices with the PIs, how to handle publication strategy, how to handle tech transfer strategy, how to handle IP filing, and who at what moment in time is then benefiting from what level of ownership and how this is transferring. And the way that it works is probably best proven by the fact that this model has only not been successful now in Oxford, that we have really rolled it out to more than 10 different places where we are basically applying always the same principle. And with this, it seems to really globally work and find the satisfaction of scientists who have to publish of tech transfers, who have to file IP and us who have to have IP before we can start with drug discovery projects to then bring them into situations forward. Exact details, I cannot give you because we keep this as our BRIDGE secrets, so to say, but it's working and that's why we also think that it will not be the last BRIDGEs that you have seen.
Victoria English: Okay.
Werner Lanthaler: With this, thank you so much. Next question, please.
Operator: The next question is by Joseph Hedden of Rx Securities.
Joseph Hedden: Good afternoon. Thanks for taking my questions. Similar to Victoria's in a way, on these most recent BRIDGE collaborations beLAB1407 and 2122, in terms of again, IP ownership and then who has the ultimate control, but when explicitly with these two and one with Sanofi before you have a part -- a pharma partner involved at the outset who's pumping in some significant funding. Is there a template for ownership and decision making in terms of is it going to be a spinout company, if you have an exciting program? Is it going to be licensed by the pharma partner? Can you give us any color on how your decision making process evolves?
Werner Lanthaler: Yes, thank you so much. To go a bit more into detail here, what one of the key aspects of this BRIDGEs really is to on the [indiscernible] costs, create data points as fast as possible and as unbiased and valid as possible. So with this the whole principle of these BRIDGEs is to create first, a blueprint, which is always the same blueprint and then create as much speed as possible with as little complication for rights as possible to come to a data point, which then gives you valid information about what should be the next step. Why do I say this, because the initial experiments that within BRIDGE project are made are typically very small first experiments. So these are typically validation experiments of academic trials that have already happened, where academic data points that have already happened. If you know here, that less than 50% of all academic experiments can be fully repeated on industrial platforms you already see that it would be a real waste to invest too much into IP protection, into licensing arrangement, into co-ownership arrangements, if you have not done the experiment first. So that's one principle here. The second principle is that there is a license then happening from the academic institution into the BRIDGE. But there are no rights to any pharma partner, even if the pharma partner would be a funding partner. But of course, the partners that are there with us have the benefit of being in the flow of information, and with this having a good discussion and a good flow of information of many of these projects, which then can lead to either venture capital formations, which we, for example, have done with a company called Dark Blue [ph], where we put several individual assets out of BRIDGE projects together into a focused company in the field of oncology then, where they can directly go into licensing transactions, which we have not shown yet, but which will also come in the future, where they can basically be projects that are simply failed on [indiscernible] costs, and then nothing has happened, which is the beauty of this BRIDGE construct. And that's why again, it is the most capital efficient translational tool in the industry. And what is the beauty -- really the beauty is that every academic partner, all of a sudden can do the experiment on the exact same platform where his ultimate exit will take place. Because Evotec is working at this stage with 20 out of the top 20 pharma companies. And of course with this experiment done on Evotec platform is already a validated data point for every future potential acquirer or licensor of such a product. And that's why here diligence of the validity of data basically falls away and gives a lot of basically momentum in a positive way for this project. So that's really the BRIDGEs in more detail. And again, you will see more of that.
Joseph Hedden: Okay. Thanks for that. And then just one CureBeta, if I may. You spoke about good progress. I think previously, you stated that still needed an external partner to provide the delivery technologies for the cell therapy. Is there any update on how progress is going there?
Werner Lanthaler: So, we are at this stage also here developing two paths forward. One is with external devices. And we are at this stage evaluating several of device strategies on the cells. And we are also evaluating so-called cloaking technologies, which would be long-term, potentially even device less. And also here, the beauty is that all these experiments can take place and are taking place on Evotec's platform, which allows us ultimately to then pick the most valuable strategy forward. And that's ongoing as we speak.
Joseph Hedden: Okay. Thank you very much.
Werner Lanthaler: Maybe one further piece of information. We took a co-ownership in a company last year called panCELLa, which is a company really focused on providing cloaking technologies, but also delivery technologies for cells. So there's a very good operational dialogue and potential synergy coming together here.
Joseph Hedden: Okay, great. Thank you.
Werner Lanthaler: The next question please. Pleasure.
Operator: The next question is by Alex Cogut of Kempen.
Alex Cogut: Hi, guys. Thanks for taking my questions. I'll be brief. I was just wondering what's the latest status on iPSC candidates entering the clinic? I believe previously you mentioned you expect a neuro [ph] candidate from with BMS entering in 2021 and similarly in the diabetes program in 2022. And then just a second question on Eliapixant. If you have some updates on the clinical progress there, and what are you still expect the Phase 2b trial to be recruited in Q4 of this year in recurring costs? Thanks.
Werner Lanthaler: So on all three fronts, I can really give very positive news that we are still expecting our first -- it would be really fantastic. The first iPSC derived novel target in the clinic out of the iPSC more collaboration this year, middle of the year or second half of the year, but we are on full track here. So that looks very good, which will be then not only the validation of a novel target, but also really the platform behind that. We are on the cell therapy project as already mentioned evaluating many passes forward now, but they are all going towards a clinical entry as soon as possible, which definitely is not 2021. And when it comes to Eliapixant, and maybe it's also fair to say in the iPSC platform -- in the iPSC collaborations that’s not only this one target that we are bringing forward here, there's really a whole pipeline following. And that's what you should have also monitored by observing the milestones that we have generated with BMS in this iPSC collaboration. So that will be after this first target into 2022, 2023, hopefully a whole pipeline of iPSC derived targets coming. And when it comes to Eliapixant, I think we are very happy with the -- thanks, God, here opening of the clinical centers that took place despite some ongoing delays from COVID. And here really fantastic progress by our partners, they are here to push especially in refractory chronic cough, the first development candidate into the clinic and also here have a very fast recruitment. So that's also why we expect here the timelines to be unchanged for data to be generated by the second half of 2021, or beginning of '22 to then translate into Phase 3 with Eliapixant where refractory chronic cough will be the first indication. But as you know, there are at least three other indications already in preparation to go also to the market on that compound.
Alex Cogut: Yes, that's great to hear. Thank you, Werner.
Werner Lanthaler: Pleasure. With this, next question, please.
Operator: [Operator Instructions] There is another question by Naresh Chouhan of Intrinsic Health.
Werner Lanthaler: Hi, Naresh. You’re on.
Naresh Chouhan: Hi. Sorry. Hi, there. Thanks for taking my questions.
Werner Lanthaler: Sure.
Naresh Chouhan: Two, please. One on the cell therapy build up. Can you tell us a bit more about the technology? It's clearly huge demand, and we’ve seen some other companies drive few sales from this. But a lot of the platforms out there still require a huge amount of human intervention in the production process, a lot of cell therapies like CAR-T and that's clearly a limiting factor. Have you found a way to automate this? And you also have some of the [indiscernible] technology which is on quite a long way to doing that. So I would be interested to hear about how you think you'll be able to compete in that space. And then secondly, as biotechs are getting much better capitalized and have the ability to in-license more assets like the Kazia deal. Should we expect Evotec to be more involved in clinical development in the future where actually Evotec is now the bigger partner. That's the first part of the question. And the second part is, if that is the case, should we expect a build out of clinical development teams with a CMO and more people? Just a bit of color around how you think that part of business will grow? Thanks.
Werner Lanthaler: So maybe on first, the industrialization of our cell therapy platform. Here I think it's probably really fair to say that Evotec has been leading the industrialization of cell therapy scale up technologies for many, many years. And if you please ever can travel back to from London to Hamburg, be invited to see, for example, how the automated -- automatization process of our cell therapy assays has been put in place. Why is this important? Because you need consistent quality of everything that you're doing in sales before you translate this into scale up processes. That's the first point. Second point, you need stable cell lines to be available to be scaled up. And the third thing is you need manufacturing systems where you can go from smaller scale cell therapy quantities to larger scale cell therapy quantities. And here, the modular pod like system, as we have established is with our Just-Evotec Biologics technology really seems uniquely positioned to really guide this early stage, highly unbiased, but high quality process for ourselves to stabilize them, and then to scale them up into the continuous processes in the pods. So that's why we feel that also here what I mentioned today, the idea of bringing here commercial scale cell therapy project forward is for us a unique opportunity. Why is this so unique, because we also have our proprietary cell therapy products in our own hands. And if you look at only our CureBeta project, again, it is really fantastic that we don't need an outside provider now for that, but we can scale up and with this have full quality control on this process into the J.POD for that. And of course we are building this out also for multiple other partners and technologies. Also here, very interesting we have made a recent technology expansion here into the field of exosomes. And we're also here of course, the real question is how can you scale up exosomes then into manufacturing processes. And if you look at a company that we did called Curexsys where Evotec basically spun out that company, but is providing also the technologies, and this gives you an example of which technology platforms we have built in order to be able to not only discuss sales, but also to manufacture and build out sales and exosomes going forward. We can go deeper into this, but it's really something that we built a key capability in key strengths, I would say here. And on your second point, please be aware that within the 4,000 scientists or close to 4,000 scientists within Evotec, we always have had a very good group of also clinically experienced regulatory experience, Phase 3 experienced people, which is absolutely essential because a lot of the projects that we work on for our partners, but also that we co-own, need a lot of regulatory guidance, regulatory consultants, regulatory translational information before you BRIDGE a product into the clinic. So if you, for example, look at our offering package called INDIGO, INDIGO brings all the steps from preclinical development into clinical entry together. And this is a full package from biology, from the safety, from the regulatory, and of course, also from a clinical design perspective where INDIGO is, so to say, the fully comprehensive package to do this. We see here an enormously nicely increasing demand, as you mentioned from biotech companies who don't have fixed costs driven clinical teams in-house, but who really then rely on our expertise here to build these INDIGO packages. So I think to answer your question, we are already doing this. We are doing this at this stage with multiple projects, especially in small molecules. We are preparing this also as INDIGO packages for biologics going forward. Again, the synergy with trust is going to be beautiful to do this. And what we don't intend to do as Evotec, Evotec does not intend to take clinical development risk on our own. So that's why the dominant strategy for our exposure to co-ownership is not to take the risk of clinical costs, but will be enabling other people to progress clinically assets forward and we then co-own these assets.
Naresh Chouhan: Great. Thank you.
Werner Lanthaler: Yes, pleasure. With this, if there are no further questions, or if there are further questions, please make a sign on your keypad. I wait because it looks like that there is no further question. With this, let me invite you to raise every question that you might have and contact us directly. We are happy to give more information where needed and where wanted. Let me thank you again for following Evotec and let me wish you the very best for your day.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.
Werner Lanthaler: Thank you.